Operator: Good morning, and thank you for joining the Lument Finance Trust Second Quarter 2025 Earnings Call. Today's call is being recorded and will be made available via webcast on the company's website. I would now like to turn the call over to Andrew Tsang with Investor Relations at Lument Investment Management. Please go ahead.
Andrew Tsang: Good morning, everyone. Thank you for joining our call to discuss Lument Finance Trust's Second Quarter 2025 Financial Results. With me on the call today are Jim Flynn, our CEO; Jim Briggs, our CFO; Greg Calvert, our President; and Zach Halpern, our Managing Director of Portfolio Management. On Friday, August 8, we filed our 10-Q with the SEC and issued a press release to provide details on our recent financial results. We also provided a supplemental earnings presentation, which can be found on our website. Before handing the call over to Jim Flynn, I'd like to remind everyone that certain statements made during the course of this call are not based on historical information and may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. These risks and uncertainties are discussed in the company's reports filed with the SEC, in particular in the Risk Factors section of our Form 10-K. It is not possible to predict or identify all such risks, and listeners are cautioned not to place undue reliance on these forward-looking statements. The company undertakes no obligation to update any of these forward-looking statements. further, certain non-GAAP financial measures will be discussed on this conference call. Presentation of this information is not intended to be considered in isolation or a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance of GAAP can be accessed through our filings with the SEC. For the second quarter of 2025, we reported GAAP net income of $0.05 per share and distributable earnings of $0.05 per share of common stock. In June, we also declared a quarterly dividend of $0.06 per common share with respect to the second quarter. I will now turn the call over to Jim Flynn. Please go ahead.
James Peter Flynn: Thank you, Andrew. Good morning, everyone. Welcome to the Lument Finance Trust earnings call for the second quarter of 2025. We appreciate and thank everyone for joining us today. As we all have seen, the U.S. economic environment remains mixed, but generally stable. Inflation has continued to moderate though rates remain elevated. Despite geopolitical and economic uncertainties driven by persistent trade tariffs and other policy changes, we believe market volatility may ease even with the potential for slower economic growth, and therefore more predictable monetary policy could provide a foundation for healthier commercial real estate capital flows as we progress through the second half of 2025. In the multifamily sector, conditions are broadly stable, Rent growth remains modest to flat but national occupancy has rebounded as new supply slows a natural precursor to rent growth. Additionally, multifamily supply-demand fundamentals continue to be supported by affordability challenges in the for-sale single-family housing market, providing a constructive outlook for multifamily credit. As we look to the future, we are also monitoring the CRE CLO market closely. Issuance volumes have been encouraging with over $17 billion in new issuances in the first half of 2025 compared to approximately $6.5 billion in the second half of 2024. This resurgence reflects improving liquidity and CLO bond investor appetite and supports our outlook for a potential return to the securitization market as a repeat issuances, subject to the then prevailing pricing and deal execution conditions. On the Asset Management side, active asset management continues to be at the core of our value preservation strategy. Our team remains highly engaged with our mortgage borrowers as we maintain a granular view of loan performance, collateral trends and sponsor behavior. A proactive approach allows us to identify and act on potential credit events, including pursuing modifications to negotiating extensions and in appropriate cases, executing REO strategies that maximize long-term recovery. Portfolio credit ratings remained broadly stable quarter-over-quarter and the decrease in our specific reserves were in line with expectations. These reserves reflect our disciplined approach to managing our investment portfolio in a way that protects the company's downside and preserves capital. We continue to maintain a conservative liquidity posture this quarter, holding a meaningful balance of unrestricted cash to preserve flexibility and optionality in managing the more challenged credits in our portfolio. During the period, we experienced loan payoffs of $63 million and funded $3.6 million in loan participations. Principal loan repayments were primarily applied towards paying down our securitization liabilities. As previously discussed over the last several quarters, we continue to work diligently towards putting into place new financing that we believe would provide us with flexibility to more effectively manage our capital as we continue to focus on the near-term asset resolution efforts. Our focus remains firmly on maximizing value for our shareholders. And in the short term, that means continuing to drive positive asset management outcomes within our existing portfolio and progressing with our portfolio refinancing plan. As we look forward, our core investment strategy remains unchanged. Our managers, origination and asset management platforms remain a key competitive advantage, and we intend to leverage that strength thoughtfully in these market conditions and the company's investment capacity allow. With disciplined focus and flexibility we believe we are still well positioned to create long-term value for shareholders. With that, I'd like to turn the call over to Jim Briggs, who will provide details on our financial results. Jim?
James Anthony Briggs: Thanks, Jim. Good morning, everyone. Last Friday, we filed our quarterly report on Form 10-Q and provided a supplemental investor presentation on our website, which we'll be referencing during our remarks. The supplemental investor presentation has been uploaded to the webcast as well for your reference. On Pages 4 through 7 of the presentation, you will find key updates and earnings summary for the quarter. For the second quarter of 2025, we reported net income to common stockholders of approximately $2.5 million or $0.05 per share. We also reported distributable earnings of approximately $2.8 million or $0.05 per share. There are a few items I'd like to highlight with regards to the Q2 P&L. Our Q2 net interest income was $7 million, a decline from $7.7 million recorded in Q1. The weighted average coupon remained relatively flat sequentially. However, the average outstanding UPB of the portfolio has declined and principal loan repayments were used to pay down a portion of our secured financings, reducing our net interest income for the period. While payoffs were relatively flat quarter-on-quarter, the company recognized approximately $400,000 of exit fees during Q2 compared to approximately $750,000 in the prior quarter. Our total operating expenses included fees to our manager were up slightly quarter-on-quarter as we recognized expenses of $3.2 million in Q2 versus $2.6 million in Q1, $139,000 was related to depreciation on REO assets. Approximately $100,000 was related to expense reimbursements to our manager as there was no credit for waived exit fees in the quarter, and approximately $200,000 was related to fees paid to our manager. The primary difference between reported net income and distributable earnings was attributable to $139,000 on depreciation on REO and approximate $100,000 provision for credit losses in the quarter. As of June 30, we had 8 loans risk rated at 5, all 8 were loans collateralized by multifamily assets. Greg will provide a bit more detail in his remarks. We evaluated these 8 risk rated 5 loans individually to determine whether asset-specific reserves credit losses were necessary. And after analysis of the underlying collateral, we set our specific credit reserves to $7.6 million as of June 30, a decrease of $3.5 million versus the prior quarter. $2.9 million of this decrease is a result of the transfer of 2 assets to REO, this charge against the allowance for credit losses has no P&L impact in the quarter. The approximate $600,000 remainder of the decline is primarily the result of an improved view of asset recovery. Our general loan loss reserve increased from $5.9 million to $6.6 million during the period. The increase was driven primarily by a modest decrease in collateral valuations, partially offset by a decrease in the portfolio balance. We ended the second quarter with an unrestricted cash balance of $59 million, our investment capacity through our 2 secured financings was fully deployed. The CRE CLO securitization transaction, we issued in 2021, provided an effective leverage of 73% to our loan assets and a weighted average cost of funds of SOFR plus 179 basis points. The LMF financing completed in 2023 and provided the portfolio with effective leverage of 80% at a weighted average cost of funds of SOFR plus 319 basis points. On a combined basis, the 2 securitizations provided our portfolio with an effective leverage of 75% and a weighted average cost of funds of SOFR plus 233 basis points as of quarter end. The company's total equity at the end of the quarter was approximately $231 million. Total book value of common stock was approximately $171 million or $3.27 per share. decreasing sequentially from $3.29 a share as of March 31. I will now turn the call over to Greg Calvert to provide details on the company's investment activity and portfolio performance during the quarter. Greg?
Greg D. Calvert: Thank you, Jim. During the second quarter, LFT experienced $63 million of loan payoffs and advanced new loan financings of $3.6 million. As of June 30, our total loan exposure the portfolio consisted of 56 floating rate loans with an aggregate unpaid principal balance of approximately $924 million, a weighted average floating rate of SOFR plus 356 basis points and an unamortized aggregate purchase discount of $2.3 million. The weighted average remaining term of our book as of quarter end was approximately 18 months, assuming all available extensions are exercised by our borrowers. 100% of the portfolio was indexed to 1-month SOFR and 91% of the portfolio was collateralized by multifamily properties. As of June 30, approximately 63% of the loans in our portfolio were risk rated at 3 or better compared to 60% in the prior quarter. Our weighted average risk rate quarter-over-quarter remained flat at 3.5. During the second quarter, we were successful in achieving a positive resolution on 1 asset that was risk rated to 5 as of March 31. This was a $15 million loan collateralized by 2 multifamily properties in Philadelphia. Our loan is now performing as the borrower has resumed interest payments. 2 other loan assets that were risk-weighted at 5 as of March 31 were foreclosed on during Q2. This included a $15.4 million loan collateralized by a multifamily property in San Antonio, Texas and an $11.5 million loan collateralized by a multifamily property in Houston, Texas. The company now has ownership indeed of these properties, and our asset management team is working towards strategies to maximize disposition values. As of June 30, we had 8 loan assets risk rated 5 with an aggregate principal balance of approximately $124 million or approximately 13% of the unpaid principal balance of our quarter end investment portfolio. Of these, 5 were also risk-weighted 5 in the prior quarter. These include a $19.6 million loan collateralized by a multifamily property in Orlando, Florida, that was in maturity default, an $11.9 million loan collateralized by a multifamily property in Ypsilanti, Michigan that was in monetary default, a $10.5 million loan collateralized by a multifamily property in Colorado Springs, Colorado in monetary default and to $9.1 million loan collateralized by a multifamily property in San Antonio, Texas in monetary default, a $24.5 million loan collateralized by a multifamily property in Clarkston, Georgia in monetary default also. However, this past Friday, August 8, our asset management team successfully negotiated the modification of the note to cure that default. Three other loan assets that were risk rated at 5 this quarter included a $13.7 million loan collateralized by a multifamily property in Cedar Park, Texas that was in monetary default, an $8.2 million loan collateralized by a multifamily property in Des Moines, Iowa and a $26.6 million loan collateralized by a multifamily property in San Antonio, Texas, that was a monetary default. Last week, we foreclosed on the San Antonio asset. Achieving positive asset management outcomes and maximizing recovery value remains our priority. With that said, I will pass it back to Jim Flynn for closing remarks and questions.
James Peter Flynn: Thank you, Greg, and thank you to our guests for joining. Appreciate everyone's time and would like to open the floor to questions. Operator?
Operator: [Operator Instructions] There are no questions at this time. I would like to turn the call over to James for closing remarks.
James Peter Flynn: Okay. Thank you, operator. Thank you all for joining us. We look forward to speaking again next quarter.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.